Operator: Good afternoon, and welcome to the Republic Services Third Quarter 2024 Investor Conference Call. Republic Services is traded on the New York Stock Exchange under the symbol RSG. All participants in today’s call will be in listen-only mode. [Operator Instructions] After today’s presentation there will be an opportunity to ask questions. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Aaron Evans, Vice President of Investor Relations. Please go ahead.
Aaron Evans: I would like to welcome everyone to Republic Services Third Quarter 2024 Conference Call. John Vander Ark, our CEO; and Brian DelGhiaccio, our CFO, are on the call today to discuss our performance. I would like to take a moment to remind everyone that some information we discuss on today's call contains forward-looking statements, including forward-looking financial information, which involve risks and uncertainties and may be materially different from actual results. Our SEC filings discuss factors that could cause actual results to differ materially from expectations. The material that we discuss today is time sensitive. If in the future, you listen to a rebroadcast or recording of this conference call, you should be sensitive to the date of the original call, which is October 29, 2024. Please note that this call is property of Republic Services, Inc. Any redistribution, retransmission or rebroadcast of this call in any form without the expressed written consent of Republic Services is strictly prohibited. Our SEC filings, our earnings press release, which includes GAAP reconciliation tables and a discussion of business activities, along with the recording of this call, are available on Republic's website at republicservices.com. I want to remind you that Republic's management team routinely participates in investor conferences. When events are scheduled, the date times and presentations are posted on our website. With that, I'd like to turn the call over to Jon.
Jon Vander Ark: Thanks, Aaron. Good afternoon, everyone, and thank you for joining us. We delivered strong third quarter results by effectively executing our strategy that supports profitable growth and value creation. The Republic Services team continues to deliver world-class service and innovative solutions to meet the needs of our customers. During the quarter, we achieved revenue growth of 7% and generated adjusted EBITDA growth of 14%, expanded adjusted EBITDA margin by 210 basis points, reported adjusted earnings per share of $1.81 and produce $1.4 billion of adjusted free cash flow on a year-to-date basis. Through our differentiated capabilities, customers yield, digital and sustainability, we continue to be well positioned to capture new opportunities and create long-term value for our stakeholders. Regarding customer zeal, our focus on delivering world-class essential services continues to support organic growth and enhance customer loyalty. Our customer retention rate remained strong at more than 94%. Third quarter organic revenue growth was driven by strong pricing across the business. Average yield on total revenue was 4.6%, and average yield on related revenue was 5.5%. This level of pricing continued to exceed our cost inflation and help drive 210 basis points of EBITDA margin expansion. Organic volume on total revenue declined 1.2%. Volume losses were heavily concentrated to the cyclical portions of our business, including special waste and construction activity. Turning to our expanding digital capabilities. We continue to advance the implementation of digital tools to improve the experience for both customers and employees. Deployment of MPower, our new fleet and equipment management system is underway. MPower is designed to increase maintenance technician productivity and enhance warranty recovery. Deployment of the new system is anticipated to be completed by the end of 2025. We estimate MPower will deliver $20 million annual cost savings once fully implemented. We continue to benefit from innovative technology on our recycling and waste collection routes. Our platform utilizes cameras to identify overfill containers and recycling contamination. This technology generated more than $60 million in incremental revenue in the first year of operation. Moving on to sustainability. We believe that our sustainability innovation investments in plastic circularity and renewal natural gas position us to continue grow and create long-term value creation. Development of our polymer centers and Blue Polymers joint venture facilities continues to move forward. Las Vegas Polymer Center production volumes continued to increase throughout the quarter. Construction is progressing on our Indianapolis Polymer Center with initial equipment commissioning underway. This operation will be co-located with a Blue Polymers production facility. We expect construction on this facility to be complete by the year of this year, with earnings contribution in the second half of 2025. We recently broke ground on a Blue Polymers production facility in Buckeye, Arizona, this facility will complement the Las Vegas Polymer Center. We expect the completion of this facility in late 2025. We continue to bring decarbonization solutions to the market that will unlock value for all of our stakeholders including the communities we serve. The renewable natural gas projects we're developing with our partners continue to advance. Two projects came online during the third quarter, bringing the total completed this year to four projects. We expect four additional RNG projects to be completed during the fourth quarter. We continue to advance our commitment to fleet electrification. We currently have 28 electric collection vehicles in operation and expect to have more than 50 EVs in our fleet by the end of the year. We have 18 facilities with commercial scale EV charging infrastructure. As part of our approach to sustainability, we are committed to being an employer of choice in the markets we serve. Our third quarter employee turnover rate improved more than 100 basis points compared to the prior year and we are proud to be certified as a great place to work for the eighth consecutive year. With respect to capital allocation, year-to-date, we have invested $104 million in strategic acquisitions. Our acquisition pipeline remains supportive of continued activity in both recycling and waste and environmental solutions. We currently have more than $200 million of transactions that are expected to close by the end of the year. Year-to-date, we returned $834 million to shareholders, which includes $330 million of share repurchases. I will now turn the call over to Brian, who will provide details on the quarter.
Brian DelGhiaccio: Thanks, Jon. Core price on total revenue was 6.2%, core price on related revenue was 7.4%, which included open market pricing of 9.1% and restricted pricing of 4.8%. The components of core price on related revenue included: small container of 10.3%, large container of 6.9% and residential of 7.2%. Average yield on total revenue was 4.6%, and average yield on related revenue was 5.5%. As expected, average yields stepped down sequentially as we began to anniversary the impact of new fees implemented last year. The fees relate to overfilled containers and recycling contamination and were enabled by our digital platform. Third quarter volume on total revenue decreased 1.2% and volume on related revenue decreased 1.5%. Volume results included a decrease in large container of 3.6%, primarily due to continued softness in construction-related activities a decrease in residential of 2.9%, primarily due to municipal contracts lost in 2023 then anniversary in the fourth quarter of this year. During the quarter, small center volume decreased 40 basis points, while landfill MSW increased 30 basis points. Moving on to recycling. Commodity prices were $177 per ton during the third quarter. This compares to $112 per ton in the prior year. Recycling processing and commodity sales increased revenue by 70 basis points during the quarter. Commodity prices are currently $106 per ton reflecting a recent decline in the price for recovered cardboard, or OCC. Total company adjusted EBITDA margin expanded 210 basis points to 32%. Margin performance during the quarter: margin expansion in the underlying business of 120 basis points, a 40 basis point increase from net fuel, a 30 basis point increase from recycled commodity prices and a 50 basis point benefit from an insurance recovery related to a prior year claim. This was partially offset by a 30 basis point decrease from acquisitions completed in the prior year. Now turning to our Environmental Solutions business. Third quarter Environmental Solutions revenue increased $60 million compared to the prior year, driven by the rollover contribution from prior year acquisitions. Adjusted EBITDA margin in the Environmental Solutions business expanded 290 basis points to 25.5% in the third quarter. Environmental Solutions EBITDA margin was 22.6% and in the prior year. Environmental Solutions margin included a positive 110 basis points from an adjustment to an allowance for bad debt established in a prior year. Excluding this benefit, Environmental Solutions margin would have been 24.4%. Year-to-date, adjusted free cash flow was $1.74 billion. The decrease from the prior year is primarily due to the timing of capital expenditures. Year to date net capital expenditures of $1.19 billion represents an increase of $250 million or 27% compared to the prior year. Capital spending is more ratable in 2024, whereas 2023 was heavily weighted to the fourth quarter. Prior year capital expenditures were impacted by vendor-related delay in truck and equipment deliveries. Total debt $12.6 billion and total liquidity $2.6 billion. Our leverage rate at the end of the quarter was approximately 2.6 times. With respect to taxes, our combined tax rate and impact from equity investments in renewable energy resulted in an equivalent tax impact of 21.6% during the quarter. This favorable tax rate driven primarily by the timing of equity investments in renewable energy contributed $0.09 of EPS benefit during the quarter. I will now hand back over to Jon.
Jon Vander Ark: Thanks, Brian. With respect to 2024, we believe we are trending toward the low end of our full year revenue guidance due to continued softness in cyclical volumes. That said, we expect to more than overcome this revenue headwind and achieved the high end of our full year adjusted EBITDA guidance. As a result, we expect EBITDA margin to outperform our expectations. Looking forward to 2025, we expect continued growth across the business supported by pricing ahead of underlying costs, cross-selling our complete set of products and services and capitalizing on value-creating acquisition opportunities. We also expect financial contribution from the investments made in sustainability innovation, including plastic circularity and renewable natural gas projects. We believe that the fundamentals of our business remain strong and supportive of continued growth in revenue, EBITDA and free cash flow along with margin expansion in the underlying business. Over the long term, we believe our business can consistently deliver mid-single-digit revenue growth and grow EBITDA, EPS and free cash flow faster than revenue. Our initial perspective on full year 2025 is consistent with this long-term growth algorithm. We plan to provide detailed 2025 guidance on our earnings call in February. With that, operator, I would like to open the call to questions.
Operator: Certainly. We will now begin the question-and-answer session. [Operator Instructions] Our first question today comes from Jerry Revich with Goldman Sachs. Please go ahead.
Jerry Revich: Hi, good afternoon and good evening, everyone. Nice quarter. Brian, I'm wondering if you could just expand if there are any other onetime type items in the quarter, really impressive performance. And as I look at the fourth quarter guidance, it looks like you're guiding to margins to step down a couple of points more than normal seasonality 4Q versus 3Q. I'm wondering is that just conservatism? Or were there any other embedded tailwinds in the third quarter beyond that debt item that you spoke about environmental services.
Brian DelGhiaccio: Yes. Thanks, Jerry. Taking a look at the third quarter, we called out the two big pieces that you would sit there and in say, we're somewhat large and unusual for the quarter. So the insurance recovery, which had an impact of a positive 50 basis points to the quarter itself. We called out the bad debt as well. So it was 110 basis points to Environmental Solutions, about 10 basis point contribution to the enterprise taken as a whole. So 60 basis points, we would say, ex that, the rest, I mean, I called out the theses about what fuel and commodity prices were doing, but the underlying business, you saw the strength of that 100 bps.
Jerry Revich: Really impressive performance. And then if I can shift gears, and ask you to talk about on the polymer center rollout, can you just expand on the performance so far? How has the production ramp played out versus the initial plan? And any updates to the time lines that you folks previously shared.
Jon Vander Ark: Sure. Yes. We're really happy in terms of the pricing we're getting. We're beating our pro forma math. Certainly happy on the volume ramp in terms of how that equipment is building. We got off to a little later start than we would have liked for things all unrelated to the equipment. So permitting of the facility, getting electricity in, just getting all the things around the construction on the building envelope. Those things take time. Maybe we were a little aggressive in our time line to begin with. [indiscernible] delayed from the start there, but the underlying assumptions other than a delayed start, we still feel very confident in. And India is hitting its marks, including the construction time line there. So we feel really good about that. Listen, we think we're producing some of the cleanest [lake] (ph) in the world. And so that's what the market needs. It's good for circularity and certainly going to be good for our shareholders as well.
Jerry Revich: Appreciate it. Thank you.
Operator: Your next question today comes from Trevor Romeo with William Blair. Please go ahead.
Trevor Romeo: Hi, good afternoon. Thanks so much for taking the questions. Had one kind of on the -- on pricing, thinking about open market versus restricted. I think the last several quarters, your open market core price has been 400 basis points or more above restricted. Is that kind of a good spread for us to still think about going forward, even if some of the inflation indices kind of continue to ramp down. And then in your shift away from CPI to more of those open market and alternative entities, how much further room do you think you have to continue that shift at this point?
Brian DelGhiaccio: When you take a look at the spread, and we certainly talked about the fact that we thought we were in an elevated pricing environment in part due to the fact that there was the backdrop of elevated inflation. And we've said that throughout this year, that would step down sequentially. And as we look forward into 2025, we would expect that to step down as well. Now, if you take a look back historically, open market pricing has tend to run above that which you can achieve on the restricted portion of the business. I would say right now that spread is probably a little bit more than what I would think about through the cycle. But all that said, we would expect to price in excess of our cost inflation consistent with what we've done over the last couple of years and drive margin expansion in the business.
Trevor Romeo: Got it. Thank you. That’s helpful.
Jon Vander Ark: And then in terms of moving away from the [industries] (ph) or rotating away from CPI, we continue to maintain incremental progress on that. So couple of big contracts moving to water sewer trash, and it's really some moving to fixed and above them, it's really the portfolio that we think positions us well across the cycle.
Brian DelGhiaccio: Yes, we're about 61% of those contracts that were historically pegged to headline CPI that have moved to something that we would consider favorable.
Trevor Romeo: Got it. Okay. Thank you both. That's helpful. And then just quickly, wondering if we could talk about labor availability a bit. I think based on the BLS data, wage inflation in your industry is kind of mid-single digits. Curious if that's still what you're seeing as well. And then just kind of as the overall labor market has maybe cooled a bit the past few months? Have you seen any changes in labor availability?
Jon Vander Ark: We mentioned turnover down 100 basis points year-over-year. We continue to trend in a really positive direction there. Labor cost inflation is 4.5-ish percent, we're hanging out right there. And again, that cake is largely baked because we start -- we give our people a wage increase at the end of February. On that front, we expect that to step down marginally as we move into next year based on where the current numbers are pointing. And then yes, labor availability is improving. There's still categories like technicians, which have been historically tough in this industry and that you're getting tougher. That's why we vertically integrated into technical education and sort of our own tech Institute and are growing our own and having a lot of success fielding entry-level techs out of that center.
Trevor Romeo: Okay. Thanks so much. Appreciate the color.
Operator: And your next question today comes from Toni Kaplan with Morgan Stanley. Please go ahead.
Toni Kaplan: Thank you so much. I was hoping to ask for some additional color on the core price deceleration this quarter? I know you mentioned the anniversarying of the new fees from last year. Obviously, that was expected. Anything else that you would point to in the quarter to call out that was notable in terms of the price environment and how we should be thinking about it as we progress through the year.
Brian DelGhiaccio: Yes. If you take a look at the sequential step down from Q2 to Q4, I also point out that the restricted portion of our business went from 5.6% to 4.9%. And that's just on the price increase perspective. So again, that's just reflective of the indices themselves. And again, and as expected, right? We knew that it would step down sequentially, as I mentioned previously, so is our cost inflation. And as long as we can maintain that spread, that's how we drive margin expansion in the business.
Toni Kaplan: Great. And I did want to ask about volume as well. I know you mentioned the special waste and the construction softness. Should we continue to expect those trends to continue in the upcoming quarters? And anything else to call out on the volume side would be helpful. Thanks.
Jon Vander Ark: Yes. Look, I think across the industry in the last 12 to 18 months, we're in a flat to slightly negative demand environment from a unit standpoint. So it probably hasn't been talked about or well understood. On that front, and it's a cyclical portions driving that. It's also true a little bit in the industrial side of the business, it's where a large container permanent, right, we're gaining customers. So we're gaining share there, but we're seeing activity that has continued to be relatively soft at individual customers on that front. Look, on the construction side, whether this happens in three to six months or it happens in nine to 12 months, I'm optimistic on that side of the business for both commercial and residential. Interest rates coming down certainly helps with that. You've got both sides of the aisle talking about housing policy. We've underbuilt single-family homes in the United States in the last 15 years. And so, there's a lot of pent-up demand on that front. And then we're starting to see some really interesting signs here on special waste and the industrial activity, and there's always a little bit of paralysis in an election year, and we're starting to see a pipeline that's been actually quite strong all year, but jobs haven't moved and those jobs are starting to move here in the fourth quarter. So we're pretty optimistic for the remainder of the year and certainly into 2025.
Toni Kaplan: Super. Thank you.
Operator: And your next question today comes from Kevin Chang with CIBC. Please go ahead.
Kevin Chiang: Hi. Thanks for taking my question. Good afternoon and congrats on some good results. I think on the Q2 call, you mentioned just on M&A here. You had mentioned, I think, about a $300 million pipeline that are in advanced stages. It looks like you booked about $200 million in Q3 here. Just wondering as we think of that incremental $100 million, is that something you think you can close by year-end. Or is there an update to that pipeline as you kind of work through that pipeline?
Jon Vander Ark: Maybe broader backdrop, coming off three really great years of M&A. Our commitment to M&A has certainly not dwindled and our outlook and our optimism going forward hasn't changed. There's always some ebb and flow. So we closed a couple of really big deals in Q4 last year, first half got off to a little bit of a slower start this year. I think if you put together what we've already done this year and what we expect to close in the fourth quarter, we're more like $300 million where we gave you an indicator of closer to $500 million at the start of the year. A lot of those deals are starting to build here, and so I expect us to have a really good first half next year on that front. So that gives you a sense of kind of the movement on that front. But our -- our outlook and our enthusiasm for M&A remains strong, and we expect that to be a meaningful contributor next year.
Kevin Chiang: No, that's helpful. And just my second one here, I think about a month ago, you put place an order for about 100 EVs. And I think you're targeting, I think, half of new purchases in 2028 will be electric vehicle -- electric vehicles. I guess when we hear other commercial fleet operators, there seems to be a growing pushback on, I guess, adopting this technology, whether the arguments of technology is not ready yet or infrastructure is not ready. Just as you think of your EV strategy in that 2028 time line, just I guess how you see the OEMs their ability to keep pace, I guess, with the targets you have, I guess, just looking out kind of four years from now?
Jon Vander Ark: Yes, definitely there will be people that move faster and people that move slower. I mean we've learned from all kinds of experience that EV isn't just a truck, it's a system, so you need to understand how to put in the infrastructure and get after that early. You need to understand the incentive environment on that front because that certainly accelerates adoption and shortens the payback period, and we've had teams working on that for three years. And given the unlock is somebody building a truly studs up EV vehicle. No one's ever done that in our space before until Oshkosh for their McNeils vehicle. And that's a game changer because that allows you to get enough battery power on the vehicle that you can run a full day without sacrificing payload. And that was always the design parameter we had, which is we're not going to sacrifice productivity to do that. So we're thrilled with the product that we are running. I think there'll be other OEMs. Hopefully, they get there. This [indiscernible] sense people to move, but there's certainly going to be winners and losers in the short to medium term in terms of pace of adoption.
Kevin Chiang: Thanks for taking my question.
Operator: And your next question today comes from Konark Gupta with Scotia Capital. Please go ahead.
Konark Gupta: Thanks, and good afternoon, everyone. Just wanted to catch up on the housekeeping items first on the M&A side. Do you talk about the rollover effect in 2025 based on what you have closed today?
Brian DelGhiaccio: The rollover impact. Yes. So we would expect right now to see relatively negligible to 2025 growth. It's 10 to 20 basis points at this point.
Konark Gupta: Okay. And obviously, there's probably upside if you are out to close some of the acquisitions you're talking about in Q4, maybe then.
Brian DelGhiaccio: That is correct. Because that only includes that, which is actually closed through the third quarter, there would be a rollover impact of anything that closes in the fourth quarter.
Konark Gupta: Makes sense. Thank you. And then my question is on the margin side. So if I look at the trend this year so far, your margins have sequentially expanded and you talked to some of the kind of nuances on Q3 for sure. But then Q4, the margin kind of drops on an implied basis. Heading into 2025, I'm just thinking like what are some of the puts and takes you're thinking about margin as some of the circularity projects are ramping up, maybe and then some of these headwinds might fade away next year. What's the best sort of proxy for thinking about margin expansion next year?
Jon Vander Ark: Yes. We're certainly not giving 2025 guidance, but an outlook that we've talked about in the prepared remarks and we mentioned often to investors is that, we want to grow revenue mid-single digits and then grow EBITDA margin or EBITDA slightly faster than that, which implies EBITDA margin expansion and free cash flow was slightly faster than that. And EBITDA margin across the cycle, kind of, I think, 30 to 50 basis points. Obviously, this year is going to be stronger than that, but we would certainly go into next year kind of in that ZIP code in terms of our expectations of how we're going to expand margin in the business.
Konark Gupta: Okay. That’s fair and great color. Appreciate the time. Thank you.
Operator: And your next question today comes from David Manthey with Barrett. Please go ahead.
David Manthey: Thank you. Good afternoon, everyone. It's less than three years since the Ecol acquisition and I believe you said that EBITDA in Environmental Solutions is about 24%. Going back to 2021, Ecol stand-alone targets were like $17 million and I think $40 million of synergies probably picks you up 300 basis points, 400 basis points. Is the delta there, the remainder? Is that just improved pricing? Or is there any kind of acquisition mix benefit in that improvement as well? Any help you can give us there?
Jon Vander Ark: Yes, all above, it's in every lever. So starting out with -- on the revenue side, it's customer mix. So we're going through verticals and understanding willingness to pay and where we have pricing power and what the more profitable verticals are and less profitable verticals. So you've seen some customer churn in that space this year as we've certainly pushed price because our services are valuable and found lots of willingness to pay and a few people that want to experience lower quality for a period of time in that front. And then just the pricing of -- is the top pricing, very tactical account level pricing, kind of looking at every lever there still more upside, certainly there going forward as we put in the systems and technology to give our team members better tools on that front. And then good cost management, cost discipline, right, better labor utilization. As we get bigger, especially in the field services side of the business, you're able to deploy labor in different markets and therefore, get better utilization rates on that labor. So really proud of the team and the work we've done there. We said we thought we could get to 25% of the midterm target, and there's an ebb and flow across quarters, of course, but we've made faster progress than I think we originally anticipated and have high aspirations for that business to grow both units and margin going forward.
David Manthey: I appreciate it. Thanks very much.
Operator: And your next question today comes from Tobey Sommer with Truist Securities. Please go ahead.
Tobey Sommer: Just following up on the Environmental Services and US Ecology business. What's your -- is your changes in your view on the long-term margins that you think you can approach over sort of many years in that business? And I'd love to get your perspective on the disposal market digesting incremental capacity, I think there's an incinerator coming online.
Jon Vander Ark: Yes, about 25% free cash flow converges with the recycling and waste business across the cycle, just given the lower capital intensity of that business. Over time, the longer term, we don't see a constraint of why EBITDA margin in that business couldn't be very similar to the recycling waste business. Just given the nature of the products, right? These are very technical complicated waste streams. The limited number of outlets requires a lot of environmental compliance to handle those appropriately on that front. And so, we think that’s very valuable service, and we're going to continue to price for that over time. In terms of new incineration coming online, it's welcomed. The industry has been short supplied for a long period of time, and we don't see that as a challenge or a constraint. We see that as an opportunity, because there's pent-up demand that, that new capacity will be able to fulfill.
Tobey Sommer: Thank you. In terms of the pace of M&A, it's been a little bit slower than I had anticipated year-to-date. I was wondering if you could speak to that as well as the margin profile of the targets generally? I'm wondering to the extent supply chain fleet, wage growth, technology and other factors have actually what sort of pressured the margins of the targets that you're looking at.
Jon Vander Ark: Yes, I mentioned the ebb and flow of pace of M&A. Again, it's not -- we're going to stay disciplined. I think in fact, we just looked at this, we're eight to one, right? For every eight opportunities that we look at, eventually we close one of those. Because we're going to be very disciplined. First is going to have to meet our strategic hurdles and we are the national owners for this. So is it A, fit and B, does it meet our financial stream on that. And so we're looking for cash-on-cash returns double digit post synergy on that. So we're going to remain very disciplined. And again, there's ebb and flow lots of conversations. Sometimes those things break quickly and sometimes they take a little longer, right, in that front. And that's the period we're in right now, but again, our enthusiasm has not changed. In terms of the margin profile, it's less about what it has today and more about what it can become because oftentimes in these businesses, we're going to park the trucks, right? We're going to recapitalize the fleet. We are going to layer into our IT systems, right? Some of those drivers will come over, some won't because we layer it right into our [density] (ph) and so we can take routes out of the system and do the same amount of work and that’s why we drive so much value in these deals.
Tobey Sommer: Thank you very much.
Operator: And your next question today comes from Tyler Brown with Raymond James. Please go ahead.
Tyler Brown: Hi, good afternoon, guys.
Jon Vander Ark: Good afternoon, Tyler.
Tyler Brown: Hey, I got a couple of questions here. So first, I want to kind of come back to the implied Q4 guide. But if I use the high end, it implies that Q4 is around $1.2 billion, which I think is down high single digit from Q3, which is just worse than normal seasonality. And I get that you've got the 60 basis points from bad debt and insurance, but it still feels a little conservative? Or am I missing something?
Jon Vander Ark: I would say -- in the opening remarks, we talked about low end of the revenue guide, high end of the EBITDA margin guide. That's -- we're getting towards the end of the year. We're focusing our plans on 2025 on that front. We don't put a lot of time, attention and energy in getting decimal level accurate, right, on updating the guide. We gave you the markers we had and we’re feeling really good about where we're going to end up Q4 and 2025.
Tyler Brown: Okay. That's fair. And then just to be kind of clear on the implied volume guidance in Q4, is there any benefit from hurricane cleanup efforts in there?
Jon Vander Ark: There may be a little bit. Again, we don't plan on that, certainly. Sometimes you get actually a quite a nice lift coming out of these. Sometimes you get a little less than you think about. Our primary focus is, first, taking care of our people. Some of them have been deeply impacted, especially in Helene. And so we're going to get them back on their feet. And when they're back on their feet, they can get back to work on that front. And then on the back end, oftentimes, we end up making some money that helps pay for that more. But if that comes, that's just icing on the gate.
Tyler Brown: And then I want to kind of come at 2025 a little bit different, because I think there's actually quite a bit going on next year. There's actually a number of moving pieces, discrete pieces, if I'm not mistaken, because I think you have polymer, Blue Polymer plants coming online, you mentioned that. I think your RISE platform still has some incremental benefit that you should get, I think you have maybe $40 million of savings to go there. I think MPower comes on, that's going to be a modest benefit, you should have at least some benefit from RNG. So Brian, I don't know if you can, but can you kind of maybe bucket all that together. But how much do those incremental drivers help 2025? Is it $50 million, $100 million? Just any broad buckets would be very helpful, if you can.
Brian DelGhiaccio: Yes. Let's take those. Let's just talk about sustainability innovation, which would include the RNG portfolio, polymer center and blue polymers, right? So next year, if you think about what we're expecting from an incremental, so this would be 2025 over 2024. It's about $75 million of revenue and $30 million to $35 million worth of EBITDA. So again, coming in at a nice incremental accretive margin to the portfolio, primarily driven by the RNG side of that. As you mentioned, we do expect some benefits from MPower. But remember, we're going to deploy that in a phased approach. And we just started the initial business units that are getting that system, so that will be deployed throughout the year. And as we exit 2025, we would expect to be fully deployed. So we called out $20 million of benefit at run rate. So you can kind of think about half of that or so being realized in 2025 with the other half then in 2026. And to your question on the RISE platform and some of the fees that we're generating, we talked about from a fee perspective that we've realized over $60 million of those fees, but that's already in the run rate. right? So we've had that throughout the year, and we're starting to comp that in Q3 of this year. From a product perspective, you can think we've got about $25 million more to go. You can think about half of that coming in 2025, half in 2026.
Tyler Brown: Okay. Okay, perfect. So there's some in 2025 into 2026. Now the other thing is, will there be, based on what we know today an alternative tax credit onset headwind?
Brian DelGhiaccio: You're talking about the CNG tax credit?
Tyler Brown: Correct. Correct.
Brian DelGhiaccio: Yes. We are not assuming that in 2025, and we just follow the law. And so again, right now, that's set to expire. So that is not included in our projection for 2025.
Jon Vander Ark: And that's about -- for us, that runs about $15 million.
Tyler Brown: Sorry, 15?
Brian DelGhiaccio: 15.
Tyler Brown: Yes. Okay. Perfect. All right. Thank you, guys.
Operator: And your next question today comes from Brian Butler with Stifel. Please go ahead.
Brian Butler: Good afternoon. Thanks for taking the questions. Just first one, can we talk maybe about where internal inflation has been running as compared to the CPI headline kind of what was that trending in the third quarter? And how does that look in the fourth quarter and then, I guess, 2025, if you have any color?
Jon Vander Ark: Yes, a good story, right? You're seeing that inflation come down. So I mentioned labor about 4.5%, and that's a pretty good indication of the overall cost inflation. There's some puts and takes in our categories. Maintenance has been a real highlight in terms of that was the category certainly is running hot the last couple of years, and that's improved from lots of different reasons. One, we're getting truck deliveries. So putting out our parking older trucks and taking on new trucks with less maintenance intensity. And then also turnover continues to decline. We're doing more work internally versus outsourcing it to third parties, and that's a cheaper labor rate. Parts inflation certainly modulated as well, so all those pieces are helping on that side. And we expect that continue to improve modestly into 2025, so continued deceleration.
Brian Butler: Okay. Great. And then when you went through the buckets kind of on what rolls into 2025 for sustainability [ePower] (ph), right? How should we think about the capital spending that's attached to that versus what was spent in 2024?
Brian DelGhiaccio: Relatively consistent. If you remember, when you think about what we're doing when we're investing in RNG, when we're making those investments, that's in a JV structure. So that comes through more like an acquisition than it does CapEx. But when you think about polymer center and when you think about what we're going to do from an EV perspective, we would expect those to be on par what we did this year, slightly higher, but nothing of note to change the CapEx as a percent of revenue.
Brian Butler: Great. Thank you.
Operator: And your next question today comes from Noah Kaye with Oppenheimer. Please go ahead.
Noah Kaye: Hi. Thanks, folks. I think in the last quarter, 32% EBITDA margins could be achievable over time. And [indiscernible]. So well done. I want to ask about Environmental Solutions. I think in the prepared remarks, you mentioned it was largely due to the acquisition, but there revenue growth. Can you just talk a little bit about the organic trends in the quarter, maybe how you see the pipeline for the year shaping up?
Jon Vander Ark: Yes. There's certainly -- there also been some churn, which I mentioned, right? And we are going to continue to test the bounds of customer willingness to pay. We believe you have to do that as a leader in the marketplace when the services are highly valued. And we also know that customers come back around. They experience with a different provider. And with high-quality service, where we're engaged with them from a safety standpoint, sustainability standpoint, digital standpoint, that has value. Ultimately, those customers oftentimes come back on that front. So little flat -- more flat this year from a volume standpoint than we would have hopped, pricing obviously exceeded our expectations. And when forced to choose, I'll take that trade-off all day. Now I push the team that we want to grow above units and price, and we'll have a plan to do that in 2025.
Noah Kaye: And to that point, you talked about maybe some faster pace of margin [indiscernible] reasonable to think about for ES versus overall, you talked about the 30 bps for the overall business. Sort of like 100 bps is kind of the right level on an annual basis to be thinking about the segment?
Jon Vander Ark: Yes. I think we've talked about 80 to 100 basis points kind of across the cycle and some years out a little faster and some years may be slower. But if you look at the trend, I think that's a ratable pace where we could take margins.
Noah Kaye: Okay. That’s very helpful. I’ll leave it there. Thanks very much.
Operator: And your next question today comes from Sabahat Khan with RBC Capital Markets. Please go ahead.
Sabahat Khan: Great. Just a follow-up on the last question there. Just in terms of the discussions you're having with your customers as the absolute level of headline inflation is moderating, just their willingness to sort of give that spread over the cost base? And are you finding it easier or harder than it was maybe a year ago and is sort of the directional rate cuts and things like that helping at all? Thanks.
Jon Vander Ark: I would say broadly, if we're in a world of 2.5%, 3%. 3.5%, 4% inflation, that's a pretty good spot for us to be, right? We've seen what really high inflation looks like, and that was certainly sustainable and are workable for a period of time. Over time, that's very unworkable because of what the Fed will do and as they'll end up crashing the economy to bring that down. We've lived in a period of incredibly low inflation, and that's really hard because we're going to give our people a wage increase every year as we know that their real costs are going to go up on that front. So living in, again, that kind of 3%, 3.5% zone is a really good spot for us to be.
Sabahat Khan: Great. And then just on the volume front, maybe if you can just give some perspective on. I think as these rates get cut, I think you're indicating you want pricing and unit volume growth next year, ideally, maybe just some perspective on your -- what you're seeing on the economic activity of the cyclical units? And then secondly, where you are on the volume churn front, if there's any more, that's still to come in 2025? Thanks.
Jon Vander Ark: Yes. I think I mentioned in the past that from a churn standpoint, every time we do M&A, there's always going to be some work that we're going to churn out of the portfolio. There's going to be some municipal contracts. We know that we are going to upgrade or replace in terms of price, and we know that there's likely some broker work that we don't treat those as customers. We treat people who generate recycling and waste as customers. So that's going to get churned out of the portfolio. We're seeing that this year for sure, on that front. And the on cyclical volume, listen, the construction is down [indiscernible] business is certainly down year-over-year 10% from a unit standpoint quarter-over-quarter. And so that's just a reflection of what's happening in the underlying construction activity. And I think what the really good news is, given, again, this broader demand environment, which is when you put all the pieces together, right, something south of flat, right? You're seeing really good pricing behavior and conduct and performance. And I think if you take a look 20 years back, you just would not have seen that. You would have seen people chasing units to try to keep trucks utilized. And what we're doing and others apparently are parking vehicles and understanding that your people need to have a wage increase every year, and it's important to go out and price. And so, I think you're seeing a market that's behaving rationally and that's really beneficial. And as we see, again, really good growth indicators on the horizon, whether that's three months, six months, nine months, but we're pretty optimistic on that front. A little bit of volume will be a really good place to be.
Brian DelGhiaccio: Some of the contract losses as well as Jon mentioned, right, some of this is just comping out some losses that happened earlier in the year. So for example, residential, we were down 2.9% year-over-year in the third quarter. Most of that is going to anniversary as we exit the year. So it’s not that we’re necessarily expecting any sort of robust growth in residential. It’s just the absence of a headwind that we’ve been experiencing all year long.
Sabahat Khan: Great. Thanks very much for the color.
Operator: And your next question today comes from Faiza Alwy with Deutsche Bank. Please go ahead.
Faiza Alwy: Yes. Hi, thanks you. I wanted to go back to the 3Q versus 4Q margin trend. And it seems like I get the 60 basis points of potentially onetime benefit. But is that just taking a step back, is it just commodity prices that are coming down in the fourth quarter that reflects the change in year-over-year margins? Or was there something in the prior year comp to be aware of? Or is there any other factor?
Brian DelGhiaccio: Yes, I would say, look, as you look at last year, from a prior year comp perspective, historically, you've seen margin step down from Q3 to Q4 and last year, they were flat, right? They were equal to each other. So there's certainly a tougher comp. But as Jon mentioned earlier, we feel really good about our prospects and how we're going to finish up this year, and we'll be able to sit there and tell you how we finish out the year in February.
Faiza Alwy: Understood. And then just a housekeeping question for 2025, if you can. First, I just want to confirm if there's any level of rollover acquisitions that we should be keeping in mind for 2025. And then like anything below the line, whether its interest expense, I know you have some notes that are coming up or the tax rate or any of those below-the-line type of things that we should keep in mind?
Brian DelGhiaccio: Yes. From a rollover perspective, as we said earlier, about 10 basis points to 20 basis points of rollover based on that, which is already closed. Obviously, that would increase for any deals that we closed in the fourth quarter, right? So we -- again, we can give you some of that flavor when we get back together in February. As far as some of the other components, I mean, if you can take a look at the maturities of what's coming due next year, they are at lower rates than current rates. So we would expect some increase in overall interest expense just due to rate on the fixed rate debt, but nothing overly significant.
Faiza Alwy: Great. Thank you.
Operator: And your next question today comes from Stephanie Moore with Jefferies. Please go ahead.
Stephanie Moore: Hi. Good afternoon. Thank you. Maybe just to follow up to actually Tyler's question. I appreciate the -- maybe the quantifying the benefit of some of your digital efforts of the RISE platform. But maybe you could remind us what is left in terms of kind of rolling out some of those systems and capabilities. I know this year is putting a lot of tablets in the cabs and making sure you're capturing some of the overhang surcharges, what's next as we think about 2025 as you phase out -- I'm sorry, phase in the next batch of capabilities? Thank you.
Brian DelGhiaccio: Yes. I mean now that you've got the platform in place really kind of ratcheting up what you do from a route sequencing in order to sit there and optimize those routes and then ultimately, adherence, right? To make sure that the drivers are running the routes as designed. So again, we put this flavor out there before is that a minute across our system is worth about $5 million annually. So it doesn’t take a lot of seconds and minutes to add up to something meaningful, and that's what we think that the next rev of our digital platform can yield.
Jon Vander Ark: And more broadly over the last four or five years, we've done a good job of just rapidly replacing and modernizing all of our systems without taking some big onetime CapEx event or creating any institutional risk, and so we've done it with our marketing and sales. We've done it with HR. We've done it with procurement. We've done it now with our assets. We've done it on the operating side of our business, and we're working on [indiscernible] cash, and there'll be another wave of benefits there as we think about still a lot of transactional work that we can automate on that front. So those will be opportunities that won't hit necessarily in 2025. We'll get some of those, but really into 2026 and 2027. So it's a great story and then it makes the employee value proposition stronger. It provides better customer service, and we're going to be able to operate the business more efficiently.
Stephanie Moore: Got it. It makes a lot of sense. And then maybe switching gears, just to -- on the recycling side of your business, not the polymer centers or the like. So would you just think of your traditional [indiscernible], maybe talk about any kind of retrofitting or automation investments or anything that you might have planned? Or do you feel like you might be implemented here in 2025 for the coming years?
Jon Vander Ark: Yes. We're doing that every year. Every year, we're putting in new optical sorters and taking out manual work and getting more automation. The primary investment we make in our recycling centers is to produce a better product. Now in order to do that, you put in new capital and you end up taking out some labor, but taking out jobs is never our goal. Our goal is to provide the -- to create the best product we can for the marketplace, which drives more circularity and drives a higher price per product on that front. And so -- and we also -- when we do M&A, we pick up some new recycling centers. There'll be a couple over the next few years that we're going to go studs up because there's markets where we need capacity on that front. But most of our investment is the continued upgrading of the existing 75 or 77.
Stephanie Moore: Yes. Thank you so much.
Operator: At this time, there appear to be no further questions. Mr. Vander Ark, I'll turn the call back over to you for closing remarks.
Jon Vander Ark: Thank you, Nick. I want to thank the entire Republic Services team for their commitment to exceeding customer expectations and the continued growth and success of our company. Have a good evening and be safe.
Operator: Ladies and gentlemen, this concludes the conference call. Thank you for attending. You may now disconnect.